Operator: Greetings, and welcome to the MaxLinear, Inc. first quarter 2025 earnings call. At this time, all participants are in listen-only mode. A question and answer session will follow the formal presentation. Anyone requiring operator assistance during the conference should press star, zero on their telephone keypad. As a reminder, this conference is being recorded. It is now my pleasure to introduce Leslie Green of Investor Relations. Please go ahead.
Leslie Green: Thank you, Joe. Good afternoon, everyone, and thank you for joining us on today's conference call to discuss MaxLinear, Inc.'s first quarter 2025 financial results. Today's call is being hosted by Dr. Kishore Seendripu, CEO, and Steven Litchfield, Chief Financial Officer and Chief Corporate Strategy Officer. After our prepared comments, we will take your questions. Our comments today include forward-looking statements within the meaning of applicable securities laws, including statements relating to our guidance for the second quarter of 2025, including revenue, GAAP and non-GAAP gross margin, GAAP and non-GAAP operating expenses, GAAP and non-GAAP interest and other expense, GAAP and non-GAAP income tax, and GAAP and non-GAAP diluted share count. In addition, we will make forward-looking statements relating to trends, opportunities, execution of our business plan, and potential growth and uncertainties in various product and geographic markets, including without limitation, statements concerning the future financial and operating results, opportunities for revenue and market share across our target markets, new products, including the timing of production and launches of such products, demand for and adoption of certain technologies, and our total addressable market. These forward-looking statements involve substantial risks and uncertainties, including risks outlined in our risk factors section of our recent SEC filings, including our Form 10-Q for the quarter ended March 31, 2025, which we filed today. Any forward-looking statements are made as of today, and MaxLinear, Inc. has no obligation to update or revise any forward-looking statements. The first quarter 2025 earnings release is available in the Investor Relations section of our website at maxlinear.com. In addition, we will report certain historical financial metrics, including but not limited to gross margin, operating margin, operating expense, and interest and other expense on both a GAAP and non-GAAP basis. We encourage investors to review the detailed reconciliation of our GAAP to non-GAAP presentation and the press release available on our website. We do not provide a reconciliation of non-GAAP guidance for future periods because of the inherent uncertainty associated with our ability to project certain future changes, including stock-based compensation and its related tax effects, as well as potential impairments. Non-GAAP financial measures discussed today are not meant to be considered in isolation or as a substitute for comparable GAAP financial measures. We are providing this information because management believes it is useful to investors as it reflects how management measures our business. Lastly, this call is also being webcast, and a replay will be available on our website for two weeks. And now, let me turn the call over to Dr. Kishore Seendripu, CEO of MaxLinear, Inc.
Kishore Seendripu: Thank you, Leslie, and good afternoon, everyone. Our Q1 results reflect the continued growth and recovery of our business. We exceeded the midpoint of our guidance with $95.9 million in revenue, non-GAAP gross margin of 59.1%, and a meaningful reduction in operating expenses. We not only expect to be profitable on a non-GAAP basis in Q2, but also, most importantly, to be able to generate positive free cash flow in Q2. In total, in Q1, we made strong progress towards our return to profit, which we are solidly executing with new product wins in high-speed datacenter interconnects, PON, Wi-Fi, and Ethernet. We are also seeing meaningful improvement in our customer order rates and backlog, which gives us confidence that we can continue to deliver growth in 2025 and 2026. Infrastructure, the increasing demand for IP data, is driving significant growth and design activity around high-speed interconnects in data centers, cloud infrastructure, and next-generation telecom networks. We continue to make strong progress with product calls across multiple customers for our five-nanometer Keystone PAM4 DSP product. At the Optical Fiber Conference, we demonstrated nearly a dozen Keystone-powered optical and active electrical cable modules per OSFP switches. We also highlighted a reverse gearbox application using Keystone from one of the world's leading module makers, as well as a half-retimed active electrical cable, wide cable solution, also using Keystone. Our products were featured in demos at the booths of several partners, which are in various forms of production or qualification stages. We were also pleased to showcase the live demo of our Rushmore 1.6 terabyte 200 gigabit per lane PAM4 DSP. Like Keystone, our Rushmore family of PAM4 DIAs and DSPs with 1.6 terabit interconnections offers superior power and performance advantages. This continues the basis of our competitive range. We anticipate additional qualification and rollout for 800 gigabit and 1.6 terabyte data center applications throughout 2025 with exciting revenue growth in 2026. The Invarters infrastructure at the Mobile World Congress, we demonstrated a highly integrated Sierra radio system on chip as a complete open RAN macro radio unit solution. Seamlessly interoperated with all major GaN power amplifier suppliers utilizing MaxLinear, Inc.'s proprietary digital bridge distortion technology. Our wireless 5G access single-chip radio SoCs and our millimeter wave and microwave backhaul transceivers and modems are essential for supporting increasing mobile usage and data rates as well as new functionalities such as Edge AI. We believe we are positioned strongly for content growth and share gains this year as service provider capital expenses improve and as our continued design wins at TM and customers begin to ramp later this year. Also, within our infrastructure revenues, our Panther family of hardware storage accelerator SoCs is strongly positioned between the data center enterprise storage applications and the edge of the network with multiple design wins with major customers and value-added resellers across key geographies. It enables optimized cost, power, performance, and efficiency of storage and compute server systems by offloading complex tasks that otherwise required long and costly CPU cycles to execute in software. It provides unique and best-in-class capabilities around data compression and with support for 200 gigabits per second throughput, and the lowest latency is essential for AI applications. Shifting to broadband and Wi-Fi connectivity, in the near term, we feel increasingly confident in the ongoing recovery of the broadband and connectivity markets. Now with several quarters of improvement behind us, we're excited to begin the ramp of our single-chip integrated fiber PON and 10 gigabit process gateway SoC plus tri-band Wi-Fi 7 single-chip platform solution, with the second major Tier 1 North American carrier later this year. This is both a major win and a significant validation of our technology and competitive positioning in the fiber PON market. We expect that it will drive meaningful growth for our fiber revenues in 2026 and give us a strong foothold to continue to expand our presence in PON. Overall, bookings have continued to strengthen, and we are seeing incremental demand for our cable data DOCSIS products as well as our Wi-Fi and Ethernet solutions. With a broad portfolio of newly refreshed products ramping into this market and a healthier demand environment, we expect continued growth in these categories throughout the balance of the year. In conclusion, we view Q2 and 2025 as a year of strong growth and return to profitability transition as we begin to drive growth in strategic areas of our product portfolio and enjoy the incremental tailwind of the ongoing recovery in our core markets. Investments made in high-value categories such as high-speed interconnect for the data center, multi-gigabit PON access, Wi-Fi connectivity, Ethernet, storage accelerators, and wireless infrastructure result in strong product traction with Tier 1 customers and partners. We believe this positions us well to accelerate our growth as these markets continue to gain traction in 2026. With that, let me turn the call over to Steven Litchfield, our Chief Financial Officer and Chief Corporate Strategy Officer. Steve?
Steven Litchfield: Thank you, Kishore. Total revenue for the first quarter was $95.9 million, up from $92.2 million in the previous quarter. Infrastructure revenue for the first quarter was approximately $27 million, broadband revenue was approximately $41 million, connectivity revenue was $20 million, and our industrial multi-market revenue was $8 million. GAAP and non-GAAP gross margin for the first quarter were approximately 56.1% and 59.1% of revenue. The delta between GAAP and non-GAAP gross margin in the first quarter was primarily driven by $2.6 million of acquisition-related intangible asset amortization. First quarter GAAP operating expenses were $99.9 million, and non-GAAP operating expenses were $58.4 million. The delta between GAAP and non-GAAP operating expenses was primarily due to stock-based compensation and performance-based equity accruals of $28.9 million combined, restructuring costs of $7.9 million, and acquisition-related costs of $3.2 million. GAAP and non-GAAP loss from operations for Q1 2025 was 48% and 2% of net revenue. GAAP and non-GAAP interest and other expense during the quarter was $2.9 million and $2.7 million. In Q1, cash flow used in operating activities was approximately $11.4 million. We exited Q1 of 2025 ahead of plan with approximately $104 million in cash, cash equivalents, and restricted cash. With the overall improvement of our business, we expect that in Q2, we will have positive operating cash flow and thus begin to generate cash again. Our day sales outstanding was approximately 94 days in Q1. Our gross inventory was down versus the previous quarter by approximately $4.3 million as we continue to make improvements with inventory turns at 1.3. This concludes the discussion of our Q1 financial results. Before providing our guidance for Q2, I'd like to comment on the tariff situation and the geopolitical dynamics around semiconductors. As you are all aware, the market has a tremendous amount of uncertainty with regards to the trade environment. We're working closely with customers to address the changing landscape. We've taken the current environment into consideration with our guidance. It's important to acknowledge, though, that the guidelines are still evolving, so it's difficult to know exactly how the demand drivers will play out for the quarter and for the rest of the year. With that, let's turn to our guidance. For Q2 of 2025, we currently expect revenue in the second quarter of 2025 to be between $95 million and $115 million. Looking at Q2 by end market, we expect all end markets, infrastructure, broadband, connectivity, and industrial multi-market to be up in the quarter. We expect second quarter GAAP gross margin to be approximately and non-GAAP gross margin to be in the range of 57.5% and 59.5% of revenue. We expect Q2 2025 GAAP operating expenses to be in the range of $92 million to $98 million. We expect Q2 2025 non-GAAP operating expenses to be in the range of $55 million to $61 million. We expect our Q2 GAAP and non-GAAP interest and other expense each to be in the range of $2 million to $3 million. We expect a $2.4 million tax expense on a GAAP basis and a non-GAAP tax rate of 10.5%. We expect our Q2 GAAP and non-GAAP diluted share count to be approximately 87.0 million to 87.5 million. In closing, another quarter of improvement in customer orders and continued new product traction gives us confidence that we will continue to see growth and recovery in 2025 and beyond. We're excited that our innovation and our investment in strategic applications such as optical high-speed interconnects, wireless infrastructure, storage, Ethernet, Wi-Fi, and fiber PON gateways are beginning to deliver new and transformative business opportunities. Our continued growth coupled with our strong focus on operational efficiency is positioning us for a sustainable return to profitability and cash generation this quarter. With that, I'd like to open up the call for questions. Thank you.
Operator: And our first question comes from the line of Christopher Rolland with Susquehanna International Group. Please proceed.
Christopher Rolland: And I guess just as we all care about tariffs right now, I'll ask on the supply chain, and I understand the uncertainty. But if you could perhaps walk us through some of the risks that you see in your own, but also your customers' supply chain. Like, for example, I believe a lot of, like, broadband equipment is manufactured in China. How trans-
Steven Litchfield: Be?
Christopher Rolland: Be to other geographies? Just generally, if you could give us a sense of these risks, you know, how these risks could be mitigated and if there's anything that kinda keeps you guys up at night. Thanks.
Steven Litchfield: Yeah, Chris. Thanks for the question. And there's plenty keeping us up at night right now. So I mean, just maybe to start with, look, we don't have a lot of real direct impact. Right? I mean, semiconductors are not included here, so we're not seeing direct tariffs. So our supply chain actually is pretty good. So we feel pretty good about that. Your second part of your question kinda alluded to the customers. I think where we're just watching closely is what's customer demand look like. Does that, you know, how do the tariffs kinda get transferred to the consumer? Ultimately, does that slow demand? So we're watching that. I guess in between all of that, the, you know, watching the ODMs and OEMs and how they're navigating this environment. You mentioned that China is a bigger kind of box manufacturing broadband. That's a whole lot less true today than it was five years ago. Five years ago, we saw some impacts here. Most of those customers have moved out of China. So we actually see less of a risk around that. But as you know, there's tariffs that are being proposed on all the countries. I think the one that everyone seems to be circling around is China having the biggest impact. And so that's the one that we're watching closely. It seems like a lot of the other ones hopefully will be reduced a little bit and have less of an impact at least on our ecosystem anyway.
Christopher Rolland: Thank you, Steve. Most of the questions.
Steven Litchfield: Yeah. No. That was say that.
Kishore Seendripu: That's great. Yeah. Say that all our I mean, hey, Chris. I would say that none of our broadband CP customers make any box in China for our customers. So I can I can say that not almost, it's all of them? So we are safe from a China manufacturing perspective. We don't have any exposure there. But more importantly, I think our bookings have been pretty strong. Even, let's say so we look at it in two buckets. The craziness that may come later versus what was, let's say, two weeks ago, and our bookings have been very strong. We've been taking bookings even into Q3, Q4. So we are seeing a nice recovery. It's now been going on for several quarters on a broadband business. So I would put it in two categories. In terms of what is the true demand versus what is the supply chain driven yanking, whether it's in an accelerated demand versus maybe a delayed demand. We see both sides of it. So but from our perspective, with our lead time for manufacturing being anywhere between sixteen to twenty weeks, any gyrations that come from the ninety-day tariff pause is not gonna have any effect on our ability to supply chips in an accelerated manner or a decelerated manner. That's we're well past that.
Christopher Rolland: Great. Thank you, guys. And I also just as you brought up bookings, Kishore, I was just wondering you know, it was great that you think everything is gonna be up next quarter, but if you look at bookings, if you look at that order book, if you take a guess and maybe you can fill us in in those inventory situations per end market, could you force rank those segments for us you know, into into the next quarter?
Kishore Seendripu: By strength. Okay. I think in general, our problem is very different from the ones who have been enjoying the demand in the data center for some time now. Right? We are recovering from a what was a 2022 peak consumption of a product. Specifically broadband and telecom markets. So that depletion is is almost fully set in now, and that's why we're seeing where we think the channel inventories are lower than they should be. So we have we have seen strong bookings from Q4 onwards, even in Q3 last year. And we we are actually now taking bookings for Q3, Q4. So I I believe that the channel inventory issues that may develop because of for some of the customers are not necessarily particular to the issues we faced in the previous two years. So we are pretty much right now in a filling pattern rather than waiting to deplete pattern.
Christopher Rolland: Okay. Did you see any strikes, you know, one segment versus the other? For Oh, actually, I see we are seeing straight generally, a broad-based strengthening of demand. Except we are seeing some weakness in our industrial markets that is in China that has got China exposure. From an end demand perspective. But otherwise, we are feeling pretty positive that we we will continue to grow strongly for the rest of the year and beyond.
Christopher Rolland: Great. Thank you so much for the update, guys. Appreciate it.
Steven Litchfield: Yep. Thanks, Chris.
Operator: Our next question comes from the line of David Williams with The Benchmark Company. Please proceed.
David Williams: Hey, good afternoon. Thanks for taking my questions and congrats on stabilization and the positive outlook here. So my first question is is maybe, Kishore, you pointed to the design win progress on the DSP side for Keystone. And that continued through the quarter. Can you help us try to understand the magnitude of maybe that progress and where you are in terms of the design wins and maybe that ramp as you think about the next maybe six to twelve months?
Kishore Seendripu: So, David, thank you. You know, we're feeling very very positive finally. Right? When you reach that, it's only when then you can sort of, you know, exhale. So we're very happy that we are expecting to breakeven in Q2 and turn cash flow positive as well. A major milestone given what's happened in the last few quarters. Right? So that's the good news. And and and we think that the rest of the year, we will keep generating positive cash flow. So moving to the data center, the optical fiber conference, and, you know, we we displayed about twenty designs on display that are done. In our in our booth. And there are there are partners who are showing that they were all actually Keystone based. And we had four demonstrations of evaluation flat platforms for a Rushmore design. So if you look at those twenty designs, that's one way to look at all twenty designs that are in various stages of qualification. And I think Steve is already already guided in the last earnings call. That we would land somewhere between fifty to eighty million dollars. That thing specifically said sixty to seventy million dollars, which will be a doubling of last year's revenue. So I would say given how long it takes to qualify in this market, you know, and because it's a pretty highly demanding market, it's a pretty complex product even though you call it the OSFP. You know? So the fact that we can double our revenue is proof that the quality of our designs and the caliber of our customers is quite different from last year. Otherwise, you won't be able to double your revenue. So we feel very good, and that leads to the at least to my own sort of, you know, musings. What does next year look like? Obviously, we hope that if the call is all going in a nice way, be doubled from here in in 2026. But that'll require some key calls to complete. And they're all slated for the second half of this year. And we expect all the revenue next year actually coming from Keystone for a while. Okay? I hope that's helpful.
David Williams: Oh, fantastic color. Thanks so much there. And then maybe just secondly on the North American net second Tier 1. It sounds like you're expecting that kinda ramp to the back end of the year and then more fully next year. Can you kind of talk maybe size the magnitude of that and how we should think about that ramp going forward? Thanks.
Kishore Seendripu: So I think you talked about broadband on tier one operator in North America. Yes. I mean, we're pretty excited. We were the we were the first ones to be selected for the new new category of high-end boxes against what what you all know is a pretty vicious competition. Right? And so it'll be a nice anchor that adds to our other tier one operator North America for the gateway design. But this clearly is a bigger player. So we're very excited about it. And I think one of these guys ramps will be shipped a few quantities. They have a this year towards the end of the year for sure, of course. Next year would be the ramp, and hopefully, we're the first ones to ramp. Before the second supplier comes online. And we seem to have a good lead lead on that, so we should enjoy significant growth. So if you think of our PON revenue today, some in the fifty million dollar range, next year, can you double overall? Absolutely. That's the goal here.
Operator: Thanks so much. The next question comes from the line of Jeremy Kwan with Stifel. Please proceed.
Jeremy Kwan: Yes. Good afternoon and let me add my congratulations on the recovery here. I guess, maybe asking the end market question, just on a longer-term basis, you know, it looks like you're seeing some nice recovery in broadband and connectivity. Infrastructure, you know, it looks like it's gonna be a nice growth driver. Would you can you rank order those for us? Maybe as we look out to calendar 2026, in terms of the growth contribution?
Kishore Seendripu: So let me maybe Steve can answer those who are infrastructure has clearly been the focus of massive investment for us. It's strategically important because I look at infrastructure as a very, very core American market. Right? If you really look at it, there are two markets that that are the biggest ones. One is the enterprise infrastructure market, which is now primarily the cloud market. The other one is a consumer market, and we are not a consumer products company. So for us, being in the infrastructure market is a strategic imperative. And it drives a lot of differentiation, you know, and gross margin improvement for the company. So I would think that the infrastructure would be the most exciting growth on a new product cycle basis. Right? What you will see in broadband is some level of pretty rapid recovery I'm talking of I'm not gonna comment on tariffs here. Right? I'll just leave that aside if you just look it in the secular term. There'll be a there'll be a strong growth driven by recovery in the core market, and a pretty decent team sort of growth from new product cycles. I think that's a pretty healthy product, and then you know, you you add to that what's happening in, you know, the new product like form we talked about. I gave I gave the size of it. These are pretty cable also, we should start seeing some outside of PON in the cable boxes data market. So networks are being still being upgraded. There's a lot of demand for increasing their competitive position against PON. And I think for us, broadband actually is kind of exciting. Though data center and infrastructure are kind of a strategic imperative. On wireless, it was a good things are happening. Actually, we have very strong growth in 2026 on the back of of a Sierra product, access market. We will start pivoting towards being maybe one of the top silicon providers as a merchant silicon providers. So yeah. I would say infrastructure, broadband would be the new product cycle growth. And then you have, you know, we'll have some other new product cycle growth, but it won't be as, like, exciting in the industrial markets because the market is up and down in some areas. So those two would be I would rank pretty high.
Jeremy Kwan: Great. Thank you. And I guess, at this you know, maybe digging a little deeper into the storage accelerated market, sounds like you know, that's finally close to contribution. Can you give us an idea of maybe what are some of the key applications? Any sense of how many, you know, customers you can talk about just just quantity wise. And you know, is this more enterprise, or is it more data center? Any call you can provide would be very helpful.
Kishore Seendripu: So at the end of the day, even if it's enterprise, I just wanna make sure that they're selling these boxes to if it's a storage appliance server or a compute server boxes, they're all ending up in some form of AI edge data center or in the data center. Having said that, we have twenty odd proof of concepts going on. Right? And the revenue we talk about, somebody within ten to twenty million dollars in 2025 is is driven by enterprise storage. Today, and some some royalty software license revenues as well because we also have a sort of a paired offering on the using our superior algorithms for better compression storage. In the traditional systems. And then we have these compute servers that are being actually, they're being demonstrated. Right? We had the Atlanta super compute conference where we demonstrated with QCT. Which is a major compute server manufacturer. There, they use storage compression. But the key point is why do they need it? It's not just about compression and security for reducing the amount of storage space. Is actually a wrap a very, very powerful enabling capability where we reduce the latency of compute by really having a very, very low latency storage with very, very high density compression. So what that does is when you look think about AI type applications, whether it is inside the data center or outside the data center, it becomes very critical not to have bottlenecks in the whether it's, you know, whether it's a training or inference systems. So I think at this point, to be honest with you, we our revenues are coming from enterprise, which is basically storage appliances and compute servers. However, we we ex we have a lot of strong traction after reference platform announcement with AMD, a joint platform, but we're getting a lot of attraction in the other non-enterprise markets as well. So I think if you just fast forward, this year, ten to twenty million dollars, can it double or triple next year? Absolutely. Because once you're qualified, it it just takes off. And then the fall so I had told a year ago that in two to three years, we should see based on enterprise storage alone somewhere picking out at maybe seventy-five million dollar revenue. I fifty to seventy-five million dollars I think yes, it's delayed a little bit, but nothing beyond what we had forecast. Think we should be able to hit that benchmark purely of enterprise storage. Now if we were to get one or two calls on the compute compute side, I think this can easily be a a two x on that in a five to seven year window. So very, very nice differentiated product that nobody else having such an offering in the world.
Jeremy Kwan: Perfect. Thank you very much.
Operator: Yep. And the next question comes from the line of Quinn Bolton with Needham and Company. Please proceed.
Quinn Bolton: Hey, guys. Wanted to come back just to couple clarifications on tariffs. One, you mentioned none of the CP boxes manufactured in China, but my guess is there probably a number of them manufactured elsewhere in Southeast Asia where there are, you know, tariffs. I know there's been paused for for ninety days, but, you know, to the extent that those aren't totally taken away, would you expect some greater tariff effect possibly in the second half of the year? And then the second clarification is you guys manufacture everything overseas. Right? There's no reciprocal tariffs for any semiconductor chips you ship into China. Whether it's consumed in China, whether it's reexported. Right? So no no tariff costs on your products to the extent that they flow through China?
Steven Litchfield: That's that's correct, Quinn. With regard to the first part of your question, yeah. I mean, all all of the other Southeast Asia countries where a lot of these box are manufactured are at least currently, planned to be subject to these tariffs. Right? And and I think this is the part that there's plenty of uncertainty in trying to figure out, you know, how things move around. Right? And what the ODMs and OEMs kinda decide to do on this front. And I you know, we don't have a hundred percent clarity. It's all pretty new right now. And so this is where I mentioned, you know, kinda working with the customers, trying to help them know, get get those boxes kinda through the whole tariff malaise, if you will. And that's what we're doing right.
Kishore Seendripu: Look. All our if if you if you really step back a little bit, the broadband CPUs have been sort of tired offerings for the last two, three years because of the excess inventory in the system. But now they transition your new generation box where there's ten gigabit PON or and so on and so forth. So my surmise is that, is that these are needed to be competitive offerings, and that's where the applications are going on. And I think while I cannot I'm not a macro economist, but I think that you know, the demand is the demand and and then, you know, the prices will will be adjusted within the supply chains here.
Steven Litchfield: And but I don't think the demand goes away. Because I think broadband is a very inelastic market. What makes it boring and what exciting from it depends on which viewpoint you take. And so I I feel very comfortable that we will be able to continue to grow in broadband. Got it. And then maybe just, you know, given all of this uncertainty, can can you give us a sense, like, how you approached guidance in this in this light, you know, is is the hundred and five million midpoint? Did you kinda say, hey. You know, we're gonna take our forecast, judge it down, and you came up with a hundred and five million at the midpointer. Is hundred and five kinda where you think things fall, and then you just broadened out the range given the uncertainty. Just any any sort of sense you know, how you might have accounted for this tariff uncertainty in the guidance? And then I do have one business question if I could squeeze in a third.
Steven Litchfield: Yeah. Quinn, look, I don't think I covered this in the prepared remarks. Yeah. We've we've done our best to anticipate the tariffs that we have in front of us. And and that's what we base our guidance on. What was your other question?
Quinn Bolton: The other question is just, I think last quarter, you talked about you know, some variability in the optical DSP ramp. Dependent on the timing of hyperscaler eight hundred gig ramps in the second half of 2025. Wondering, you know, as you sit here today, how you feeling about timing of those eight hundred gig ramps? Are you feeling better that those hit in 2025? Is there still some uncertainty on when those eight hundred gig deployments at the hyperscalers, start to kick in.
Steven Litchfield: So, I think you sure. Covered this in his question. I mean, we've had a guidance of sixty million dollars to seventy million dollars I think we stand by that and we're comfortable with that. As you're well aware, I mean, most of those eight hundred gigs ramps are in the second half of the year, so that's also consistent with the way we've talked about them. And I think we're we're completely comfortable with that.
Quinn Bolton: Okay. Great. Thank you.
Operator: And the next question comes from the line of Ananda Baruah with Loop Capital Markets. Please proceed.
Ananda Baruah: Hey, guys. Good afternoon. Good afternoon. I really appreciate Yeah. Yeah. Good to talk to you guys. I guess, Kishore, and Steve, you you may this may be implied in all the comments you guys have already made. About demand environment, but let me let me also just ask it this way. To make sure I cover cover the bases here. So it sounds like, Kishore, no macro no no no signs of macro impact yet. In your order book. And let me also ask, do you think you're seeing any pull forward revenue? It doesn't sound like it, but let me ask that question as well. Thanks. Oh, yeah. I I was wondering when that question was gonna come of the pull forward. It looks like COVID, Here here, ma'am. Not really Yeah. Okay. We are pretty early in our earnings call in that ninety-day window pause announcement a few days ago. Right? So the reaction time is it'll take a little longer. So if ads and bookings spike up, let's say, this week or next week, some some people have talked about it, and we talked to colleagues in the industry. We will take them with more than a grain of salt. Let's put it that way. And we will try to be measured about it. But I wanna repeat again that our lead time for chip is about sixteen to twenty weeks. There is nothing you can do in the ninety days that's gonna change our ability to ship product. So you would we will not be we will not be able to mobilize even if they were to spike orders on us. So that's the reality.
Steven Litchfield: And, Ananda, I just maybe echo I'll just echo the overall demand. I mean, because yeah, the world's kind of been turned upside down the last two weeks, but but I I I really wanna echo the last quarter or two or three quarters for that matter. We continue to see you know, improvements. Right? That's the recovery that we you know, we both talked about a little bit earlier in the prepared remarks. That backlog has continued to improve. The bookings have continued to improve for about six quarters. And so, you know, a lot of encouraging signs on the new products as well as existing products.
Ananda Baruah: That's super helpful. And and I guess just my quick follow-up, on the demand side is Tisha, your comments about data center, it it makes it it sounds like this all applies to data center as well and that data centers are I I'm paraphrasing here. Did you say full speed ahead? And maybe I'm making that up. But I thought there was some comment about data center energy spend and you know, AWS and Google have come out in the last couple weeks and reaffirmed spending plans Vertiv this morning was, like, super bullish. Not just for hyperscale, but for Neo clouds and colo. So I just wanna just you sort of clarify that as well. Sounds like you're seeing no change in activity in the data center space either. Is that accurate?
Kishore Seendripu: For us, it's it's still about digging. Right? Meeting the product together, so to speak. Right? Qualifying and that sort of work. Right? So we don't have the levels of incumbency that where the dialogue is very different. So I think at at this point, no change for us. Now we have to go about our actions. So I really cannot comment on what a large incumbent exposures mean to this situation.
Ananda Baruah: I got it. That's helpful. I appreciate it. Thanks, guys.
Operator: Yep. And the next question comes from the line of Richard Shannon with Craig Hallum. Please proceed.
Richard Shannon: Thanks guys for taking my question. Questions. You'll ask one on the wireless infrastructure side. Kishore, I think you've branched this briefly here. We'd love to get a sense of of your confidence of the, you know, the ramp up here later this year. Maybe you can talk to the extent to which you see the revenue growth coming more from the content side or also from unit side as well.
Kishore Seendripu: Absolutely. If you look at it, our up until now, our revenues were primarily consist of two parts to our wireless infrastructure. Right? One is millimeter wave, microwave, backhaul transceivers, and modems. And last year, the and this year, sort of, you know, suddenly, not last year, this year, this year, the revenues came really, really down because the telco stopped spending because but, however, we are now seeing booking picking up very nice strengthening and we we hope to double from what we did last year on on that product line alone. But in addition, the access we have a CR product with the content in the is gonna increase quite a bit. It's a it's a single chip act pro radio unit. There is a very good customer design win track traction, Mobile World Congress, we had so much sort of presence and traction in terms of all the things we were showcasing. So we expect there'll be a strong driver next year as it starts picking up this year. So and that's a brand new platform where it's a single we own the platform just like in in the microwave and midyear back home. So we expect revenues to access to continue to grow over the next five to six years. On the backhaul side, there's a lot of strong demand now for Eban. That means that these AI edge applications are driving more and more data requirements. And so we're seeing demand for millimeter wave product which did not exist in the previous revenues. We are actually seeing strong growth in the millimeter wave transceivers and backhaul modems. So those two would be the big drivers of growth. On top of that, we we expect a recovery of the normal core business as well. So right? So that with the layering of it, so you will see a strong we've getting a strong revenue growth coming from just recovery, and then product cycle, secular growth over the next few years by content growth, both millimeter wave microwave modems, and transceivers and also the brand new category of single chip macro platform Sierra type product product. The base stations.
Richard Shannon: Okay. And, Keesh, if I could just confirm one of your comments here. I think you said doubling from last year alone. I'd don't know if that wasn't the the comment across the whole wireless exposure or something specific. Can you clarify that, please?
Kishore Seendripu: Yes. It's across the whole wireless exposure.
Richard Shannon: Got it. Okay. Perfect. My follow on question is related to optical DSP here. I guess I wanted to get a sense of of when and how do you expect to get it and and look for, you know, higher allocations of share with your Keystone platform and or to what degree do you see that success there happening and also being applied to Rushmore as well?
Kishore Seendripu: Very, very, very good question. But let me first first answer the rest more scenario. Look, we are not the first one with the Rashmore product, but our general competitive anchoring is extremely low power and superior performance. Right? That's the focus on. And and it's just the way this, the cycle plays out. Right? But the only only customer who is deploying the one one point six terabyte plat NVIDIA. And they have made their choices. So if any opportunities come, they'll have to come later on when they actually start shipping reasonable volume. Right? Now the volume is not that much. And then they need a third supplier, right, just to diversify the chain. So our entire premise is anchored on pretty penetration on the known Nvidia type market. And those ramps won't happen until the latter half of next year. I'm sure there are some that are happening now. But our product will really be the end of 2026 revenues on the one point six treadmill product. We showcase and demo. We'll have to do evaluation sampling to customers. And then get it qualified to production, and then, you know, the interop qualifications so on. So it's it's it's a bit of a train there. Where to get through. So the revenue back to you is really on our keystone product, which is the four hundred gigabit per second application, eight hundred gigabit per second applications. And they're where the US is good and more and more transition to eight hundred gigabit per second, You have the China hyperscalers sort of more really transitioning heavily into four hundred gigabits per second. And later to eight hundred gigabits per second. So the way we think about this market is over the next five years, about seventy percent of the market would be the eight hundred gigabit category. And the thirty percent of the market would be the one point six gigabit category. So from an allocation perspective, we expect that over the course of over the course of time, we expect and plan the business to be about twenty percent of the market. And that's all we get over the next three years or four years about you know, anywhere between two hundred to, you know, given range of outcomes, I mean, between, you know, let's call it two hundred to three hundred million dollar revenue That's the that's the business plan. Okay? And with regard to one point six terabyte, it's a continuation of credibility and our our commitment to the market investment. But Keith will be the bigger anchor of revenues in the near to mid term.
Richard Shannon: Appreciate all the detail, Keisha. Thank you.
Operator: Yep. The next question comes from the line of Suji Desilva with Roth Capital. Please proceed.
Suji Desilva: Hi, Keisha. Hi, Steve. Maybe Keisha, same question as as Richard asked a few questions ago on the broadband side. Is there a content gain, booster to the unit recovery or growth you're seeing in broadband? For MaxLinear?
Kishore Seendripu: Very good question. I think the prepared remarks, I don't know if you mentioned this or not. But all the new product revenue cycles are based of BOM expansion. And here is the where the BOM expands. Firstly, the PON the PON world is transitioning to XGS PON. Right? And then, that means you you have a heavier processor, you have a more bulky modem, and then there's a Wi-Fi that goes with it is Wi-Fi seven, and it's no longer Wi-Fi six. Right? So on the cable side, the new product cycles are driven by dock Four point two more precisely alter DOCSIS. Right? That's gonna be the real driver more than FDX DOCSIS four point o. Yes. They'll be delayed from 2020 to 2026 due to network upgrades, and making sure everything is fine. But that would drive the content increase as well. And then, you know, in these platforms, whether it's a modem or a gateway, you get content expansion even on the Ethernet side. Right? Because all of these are ports for Ethernet, We offer multi ports multi gigabit multi four two and a half gigabit Ethernet and gigabit Ethernet five solutions as quad port or dual port and so on. And then you know, you also act add to the the fact that, you know, all of these require higher upgraded sort of, you know, capability to support so much content for power efficiency and so on and so forth. So so all new product cycles are content expansion. And the core recovery in the market is gonna be driven by incumbent solutions If you call them legacy Soviet, where Wi-Fi six and DOCSIS three dot one and two hundred gigabit phone are the prevailing solutions. Okay? Yep. So a thirty percent bond expansion on legacy platforms as they transition is the normal metric we use for BOM expansion.
Suji Desilva: Okay. Shaved in putting up on it. And then question for Steve. Your QQ guidance for for expenses kinda reflects some of the the cost efforts Is the two q levels or the new baseline to go forward or are there more cost restructuring benefits that would flow through the second half before we get to new level?
Steven Litchfield: Yeah. So I think we've made some great press, you know, kind of post some of the announcement that we made in Q3 of last year. So as project kind of ramp down, then you're you've seen us come down. So I do think there's a little bit further to go where we're seeing kind of another step down in the back half of the year on the OpEx side.
Suji Desilva: Okay. Great. Thanks, Steve. Thanks, guys.
Operator: Yep. And the next question comes from the line of Tim Savageaux with Northland Capital Markets. Please proceed.
Tim Savageaux: A couple of questions to start with just about moving parts within segments in Q1. Broadband came in much better than expected. Up nearly forty percent sequential. And I was wondering if there are any particular drivers there on either the PON or cable side for that upside, and then I'll follow-up.
Steven Litchfield: Yes, Tim. I wouldn't you you're right to point out it was it was up a little more than what we'd expected kinda had seen this coming for a while, and so you're kinda seeing a follow through. It was particularly high for kind of a typically seasonal Q1 in broadband. So so it was up quite a bit more. It was kind of across the board, honestly. And because I think Keisha mentioned this previously, but, like, some of the bigger PON ones really don't even ramp till late this year or next year. So some of the the newer PON stuff is still to come. But so it's mostly across the board.
Tim Savageaux: Okay. Sounds like cable. That's what I'll take away on that. And similar question on the infrastructure side where you were flat in the quarter. And I know you had a big Q4 on the AI kind of optical side. I don't know whether that might have backed off a little bit and you saw growth elsewhere, but looking for color there, And at this point, I'm assuming that you're AI optical chip business is more than half of infrastructure revenue. In Q1 at least.
Steven Litchfield: Sure. Any comment any comments? So are you just I guess the only color around infrastructure in the quarter. I mean, as you know, I mean, optical will grow quite a bit this year and and start to be a more meaningful percentage of the infrastructure business that's on track. I think that performed as expected in the quarter. We've been talking about wireless a little bit today. That's the piece that you know, is still kind of recovering. And I would expect to see more growth of that growth out of that in the second half of the year than say we saw in the first quarter.
Tim Savageaux: K. Thanks. Onward and upward. To the final question, and that's you mentioned OFC. You had a lot of modules running in a lot of places with your chips in them. I think in your booth, you know, guys who are potentially facing some really high volumes, like Applied Opto and currently seeing them like coherent. Jabil seemed to have a pretty good show. Cisco's talking more about client optics. I mean, as you look at this group, I guess, how how concentrated or not would you expect your your AI optical revenue to be you know, this year going out into next year and should we look at it as fairly broad-based, or do you have a couple of of real important design wins and you have some guys in China too that that we should be thinking as thinking of as as key drivers for the business.
Kishore Seendripu: Look. I mean, if you if you just round up the the data center module makers, there are five big ones. Right? And if you do not have have them, all of them or at least the majority of them, there is no way you can build up your revenue. So by definition, you have concentration. And the remaining five will be there to sort of do the other, you know, the other thirty percent of your revenues. Let's call it that. Right? So I think with the size of these revenues, you should expect a two-thirds, one-third spread. Now this is a very theoretical solution. So as we build up more customers, you know, usually, the way it starts initially, all your your revenues are bunch of guys. Right? This is the way markets play. Then you you get that success, and then one big guy comes online. Then you get a couple of others. And then from there on, it's you grow with the market, you grow share, and that sort of a thing. I think we're playing the classic trend. So I think in the long term, you should expect two-thirds, one-third. Two-thirds coming from two or three players and remaining one-third coming from a range of players. I think that's the way I would distribute them.
Tim Savageaux: Nope. That's great color. Appreciate it.
Operator: Yep. The next question comes from the line of Karl Ackerman with BNP Paribas. Please proceed.
Karl Ackerman: Yes. Thanks, gentlemen. I wanted to circle back on broadband and connectivity. Kishore, I think you indicated that that combined business could double next year. Just you know, and then Steve, you were talking about how the PON content is in front of you. So if I just tie those two together, is the perhaps doubling or the opportunity to double this business next year, is that driven primarily by a cyclical recovery in cable near term, or is that driven by just this growing mix toward FiberPON and perhaps the option that you see with with you know, your integrated FiberPON and ten gig gateway SoC. I have a follow-up, please.
Steven Litchfield: Yeah. Carl, sorry. I'm not I mean, there might have been a missed because I I think you sure was talking about the doubling on the wireless side, not on the broadband side. I mean, with regard to broadband, as you know, we've had more we've had more exposure in the cable. Market, but we're seeing, you know, additional traction with PON. We spoke with the other big North America guy that we've closed, and that's expected to ramp late this year, early next year. So we do expect to see PON revenues ramp. DOCSIS four o ramp or three one ultra. You know, at some point next year. We'll we'll definitely contribute. And so as we see, I think a broadband kinda you'll see a nice recovery this year, and then you're gonna see some good follow on growth as we you know, bring on either more customers or more wins or more market share gains in all of our markets.
Karl Ackerman: Got it. Yep. Thank you for the clarification. I wanted to go back to bookings and visibility. You know, you spoke earlier how you're not seeing any pull forward related to any, you know, tariff impacts just given the fact that lead times for chips remains in the sixteen to twenty week window. You also spoke about how bookings are growing and and perhaps there's ink bookings extend beyond Q2 and into Q3 and Q4. I was hoping with that backdrop, you could give a bit more color on the know, whether you're seeing a similar dynamic play out across all end markets and across And or are you seeing perhaps a larger amount of order visibility in certain geographies and in markets than others. Thank you.
Kishore Seendripu: So I would say that, you know, it pretty much our orders track our growth. In revenues. Right? They have to at some core level. And when I talk of no spike in demand, I'm just saying it's too fresh last two weeks to to really the the ninety-day pause or ninety-day tariff window to create the spike. Right? And even if what we were saying, even if there's a spike, we won't be able to supply that spike in demand. So that's the reality of it. So the bookings that we refer to is we are referring to prior to this tariff vacillations. Right? So based on that, we are seeing strong bookings because of recovery in our core business. That both Steve and I referred to in our script. So I think that you shouldn't worry about what if there is a spike, how you know, what's gonna mean for us. Right? We don't when you look at the market, the the if you look if you look at our revenues, almost all of our revenues in outside of broadband and data center are, I would say, eighty to ninety percent outside the US. So the tariff should not have an impact on that. But if you look at the revenues in the US, it's broadband, and data center. So that's all I would I would categorize them. So therefore, this charity is really a private in the US scenario. And so I and then I would categorize it more broadband if and then it materializes. So far, we don't have any reason to under to say that the macro demand is impacted. Or not impacted. So I think that's how I would explain the story.
Karl Ackerman: Thank you.
Operator: The next question will come from the line of Tore Svanberg with Stifel. Please proceed.
Tore Svanberg: Yes. Thank you. I just had a couple of follow-ups. And and sorry for staying on the topic of tariffs, Kishore. But I understand the order discussion in relation to lead times. But have you had conversations with your customers or supply chain members about contingencies I mean, it sounds like the supply chain views this you know, tariff mess as transitory, but have you started having conversations with them about you know, some contingencies, especially if, you know, some tariffs are gonna be higher in certain regions versus others?
Kishore Seendripu: It's too chaotic for us. We have conversation, but we all agreed it's chaotic. Right? So so it it's like a slow-moving train, the response. Right? I don't think you can respond to these unprecedented changes in, you know, daily sort of changes in the policy. Right? So very hard to have cogent conversations. And especially because we don't build systems, we sell chips. Right? It's a it's a very different discussion.
Tore Svanberg: Right. No. That's fair. As my follow-up, the multimedia and industrial business continues to be very, very volatile. I know you pointed out you know, some China volatility there, but you know, to be sure, Steve, could you just explain, you know, why that business is so volatile quarter to quarter?
Steven Litchfield: Yeah. It's I mean, it has been volatile. I mean, as as you know, the industrial market has been soft. And I think just layer on that, the the China you know, dynamic that have just made that a lot worse. And I think you know, just softness in Q1 in general. So there was a big downturn. I do expect it to improve nicely in in Q2, but but but it's definitely been volatile. You're right, Tore.
Tore Svanberg: Great. Just one last one. You guided to operating cash flow positive for Q2, obviously, at the one zero five run rate. Just curious, now that you are sort of starting that recovery phase with cash flows, What's your inventory date target? I know it sort of was flattish or maybe came down a little bit this quarter, but you know, where would it eventually land, you know, sort of in the one twenty, one thirty range or or even lower than that?
Steven Litchfield: Yeah. Well, I mean, I think we've got another couple of quarters of it coming down you know, and then but yet you know, again, as we said earlier, a little tariffs aside, oh, know, we would expect it to come down for another couple of quarters. And then at some point, we're gonna to start to build again as the growth outlook you know, starts to improve. So down for the next two quarters and then probably kinda stabilize.
Kishore Seendripu: Even with with whatever you're seeing, we are building for the new products. That we are in the pipe. So so we are building inventory also for the right product mix. You know, the so that we're not running short of supply first the new product cycle ramps. So
Tore Svanberg: Very good. Thank you.
Kishore Seendripu: Thanks, Tore. Thank you, Tore.
Operator: Thank you. This will conclude the question and answer session. I'll hand the call back to Kishore Seendripu for closing remarks.
Kishore Seendripu: Well, thank you all. We're very excited about the Turning Point in our business here to returning to cash flow positive. Fee and also on an earnings on a non-GAAP earnings basis. So this quarter, we also have a many many number of financial conferences and we're events. And we'll be participating in in them, and we'll post details on these on our investor relations page. So with that, thank you all for joining us today, and we look forward to speaking with you again soon.
Operator: This concludes today's conference. You may disconnect your lines at this time. Enjoy the rest of your day.